Operator: Ladies and gentlemen, thank you for standing by. Welcome to Columbia Banking System's Fourth Quarter and Full Year 2011 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Melanie Dressel, President and Chief Executive Officer of Columbia Banking System. 
Melanie Dressel: Thank you, Sarah. Good afternoon, everyone, and thank you for joining us on today's call to discuss our fourth quarter and year 2011 results. I hope all of you have had a chance to review our earnings press release, which we issued earlier this morning and it  is also available on our website columbiabank.com. I'm happy to say, we had a good quarter and a successful year. With me on the call today are Gary Schminkey, our Chief Financial Officer; and Andy McDonald, our Chief Credit Officer; and Mark Nelson, our Chief Operating Officer will also be available for questions following our formal presentation. 
 Gary is going to begin our call by providing details of our earnings performance for the quarter and the year, including the financial benefits of our FDIC-assisted transactions, our capital position, net interest margin and core deposits. Andy will review our credit quality information, including trends in our loan mix, allowance for loan losses and our charge-offs. I'll conclude by giving you our thoughts on the economy here in the Pacific Northwest and give you a brief outline of our strategies as we move forward in 2012. We will then be happy to answer your questions. 
 I need to remind you as always, that we will be making some forward-looking statements today, which are subject to economic and other factors. And for a full discussion of the risks and uncertainties associated with the forward-looking statements, please refer to our securities filings, and in particular, our Form 10-K filed with the SEC for the year 2010. 
 And with that, I will turn the call over to Gary to talk to you about our financial performance. 
Gary Schminkey: Thanks, Melanie. Good afternoon, everyone. Earlier today, we announced earnings of $14.8 million for the fourth quarter ended December 31, 2011, or $0.37 per diluted common share. This compares to $12.6 million for the same quarter of 2010 or $0.32 per diluted common share. All our results were materially influenced by our FDIC-assisted transactions. We enjoyed a strong net interest margin, quarter-over-quarter loan growth and improving credit metrics. We provided a table in our earnings release showing the impact of certain accounting entries associated with our acquired loan portfolios. The net effect of our acquired loan accounting resulted in additional pretax income of about $8.6 million for the current quarter. This compares to additional pretax income from acquired loans of about $7.7 million for the quarter ended September 30, 2011. 
 In the current quarter, we recorded $17.2 million in incremental accretion income over the contractual interest rate stated in individual loan notes accounted for under ASC 310-30. The change in our FDIC loss sharing assets was $17.4 million, and the FDIC clawback liability was $362,000. In addition, we accreted $9.2 million into income from the discount on the Bank of Whitman acquired loan portfolio. You may remember this portfolio is not covered by any loss sharing agreement and was, for the most part, a relatively clean portfolio. As a result, we do not apply ASC 310-30 accounting treatment but rather, accrete the discount in the same fashion as we accrete net deferred fees on originated loans. 
 Generally, the discount is accreted in income over the term of the individual loans. However, certain loan activity such as prepayments in full, result in the remaining discount being accreted to income immediately. This activity makes it challenging to determine an expected run rate. The variability in earnings resulting from accounting for the FDIC-assisted transactions will continue as changes occur in the timing and amount of future cash flows. The expected future cash flows for certain of the acquired loans are reviewed at least quarterly. Our tax equivalent net interest margin for the fourth quarter was 7.14%, up from 4.35% for the same quarter last year. Margin was positively impacted by 246 basis points as a result of the additional accretion of income related to our acquired loan portfolios. 
 Year-to-date, our net interest margin was 6.27% as compared to 4.76% last year. The year-to-date net interest margin was positively impacted by 176 basis points, as a result of additional accretion of income related to our acquired loan portfolios, which was partially offset by 2 basis points of interest reversals of $753,000 related to originated loans, migrating to nonaccrual status during the year. Average interest earning asset yields increased 108 basis points to 7.42% in the fourth quarter of this year from 4.84% for the same quarter last year. The increased yield is due to additional accretion income over the stated loan rates, partially offset by a lower prevailing loan origination rate. During the same period, average interest bearing liability cost decreased 28 basis points to 41 basis points. Interest-bearing liability costs have decreased during the fourth quarter by approximately 9 basis points from the third quarter of this year. 
 Turning to noninterest income. After removing the effects of the change in the FDIC loss sharing assets, gain on investment securities and the impairment charge on investment securities, noninterest income for the fourth quarter 2011 had an increase in $819,000 or 8.3%, due to increased volume and service charges on deposit accounts and merchant services fees when compared to the same period last year. On line item, other noninterest income, decreased by $80,000 as compared to the fourth quarter of last year, primarily due to a decline in interest rate swap income. On a linked quarter basis, other noninterest income is down $603,000 from the third quarter of this year due to a decline in loan fee income. Specifically, we have  booked approximately $435,000 in non-recurring SBA fees in the third quarter of this year. 
 Impairment charge on investment securities relates to a single municipal obligation. On December 1, 2011, the Greater Wenatchee, Washington  Regional Event Center Public Facilities bond went into default. Although we remain hopeful that the City of Wenatchee, Washington and other county officials will fulfill their obligation to fully repay bondholders, we have no information at this time to justify a value other than 0. We will continue to pursue all remedies for repayment of this obligation. 
 Our efficiency ratio was 69.6% in the fourth quarter 2011 compared to 65.3% for the same quarter last year. While we have successfully managed our expenses, efficiency ratio increased due to additional expenses associated with adding 18 branches to our retail system this year, 2 core system conversions and from managing both our covered and non-covered problem assets. 
 Compensation and benefits cost for the fourth quarter are up about $4.1 million over the same quarter last year due to the effect of additional staff from our FDIC-assisted transactions. We recorded a tax expense of $5.7 million for the fourth quarter for an effective tax rate of about 28%. The tax expense is lower than our marginal rate as a result of earnings from our tax-exempt municipal securities, along with other tax-exempt investments such as bank owned life insurance and affordable housing partnerships. As we had anticipated, the year-to-date effective tax rate was approximately 27% for the full year 2011. 
 Turning to the loan portfolio. We categorized the loans acquired from our Bank of Whitman transaction as discounted loans, which are included with our originated loans in the non-covered loan portfolio composition, not in the covered loan category. Our non-covered loans ended the quarter at $2.35 billion, up $432.6 million from December 31, 2010, and up $90.5 million or 4% from September 30, 2011. Comparing to September 30 of this year on a linked quarter basis, commercial business loans increased $47.9 million or 4.9%, commercial real estate loans increased $21 million or 2.1%, and real estate construction loans increased $7.5 million or 9.4%. At the end of the fourth quarter, core deposits were up $45.7 million from September 30 of this year. The increase in core deposits is coming from non-interest demand accounts, increasing $51.4 million during the quarter and interest-bearing demand of $23.3 million. Our ratio of core deposits to total deposits has increased from 90% at year-end 2010 to 91.3% at September 30 to 92% at year end. 
 Our tangible common equity to tangible assets at year end was 13.3%, as compared to 14% at December 31 of last year. Investment securities increased $32.3 million during the fourth quarter. We continue to seek opportunities to invest our excess cash, we typically add investments with a duration of 3 to 5 years. Our main emphasis is certainly investment quality but we also evaluate the structure of the investment to have some predictability of cash flow. 
 At this point, I'd like to turn the call over to Andy McDonald, our Chief Credit Officer. Andy? 
Andrew McDonald: Thanks, Gary. I'd like to begin my comments by discussing originated and discounted loans, also referred to as non-covered loans because they are not covered under FDIC loss sharing agreements. These loans represent about $2.3 billion or roughly 81% of our total loan portfolio. Covered loans account for the rest and are approximately $537 million. As Gary discussed earlier, during the quarter, our non-covered loan portfolio increased approximately $90 million. Consistent with prior quarters, the majority of our loan growth has been in commercial business loans and long-term commercial real estate loans. Growth in our commercial business segment was centered in professional services, healthcare and wholesalers. Offsetting this growth was contraction in our agricultural and seafood portfolios of around $10 million, which was expected due to the seasonal nature of these portfolios. The commercial business bucket continues to be well diversified, with no particular industry segment accounting for more than 15% of the entire portfolio. Our largest segment is healthcare and social services at 14%, followed by manufacturing at 10.9%. All other industry concentrations are 10% or less. 
 Relative to term commercial real estate loans was evenly divided between owner-occupied and income property, with each accounting for about 50% of the increase during the fourth quarter. The demand for term commercial real estate loans is certainly one of the bright spots for commercial lenders these days, with rates being where they are and so this has allowed us to continue to be selective in choosing the deals we want to do. 
 And looking at the deals we closed in the fourth quarter, the average loan to value is 58%, and the average debt service coverage ratio was 1.42, and that's using and underwriting rate of 7%. Our originations were primarily centered in multi-family, which accounted for about 40% of our new term commercial real estate loans for the quarter; retail was second at around 10%; hotel, motel was third at 9%. In total, we booked about $58 million in new term commercial real estate loans during the fourth quarter.  Commercial real estate construction loans also increased modestly during the quarter. And again, the primary driver in this bucket was multi-family projects. 
 Looking at our nonperforming assets, we were pleased to continue to see these declined during the quarter. And they now represent about 2.02% of non-covered assets as of December 31, 2011, down from 2.15% as of last quarter and 3.23% as of the end of last year. As detailed in the press release, net inflows of $5.2 million in the nonperforming category and outflows of approximately $9.1 million. In the quarter, we had modest additions to the NPA bucket and our net charge-offs were also the lowest they have been in quite some time. 
 For the quarter, our provision for the allowance for loan losses was $4.75 million. They can be segregated into $2.75 million for our originated portfolio, and $2 million for the establishment of reserve for our discounted loan portfolio. The provision for our originated loans was primarily driven by growth in the originated loan in September to December of approximately $125 million. I would characterized the overall performance of the portfolio as stable during the fourth quarter. 
 And looking at our commercial business pool, NPAs were essentially unchanged at $19.9 million or roughly 2% of the portfolio. This is down though from around 4.3% at the end of 2010. Commercial business nonperforming assets account for about 23% of our total nonperforming assets. The term commercial real estate portfolio saw NPAs declined from 3.1% as of last quarter to 2.8%, which compares favorably again to the end of last year, when NPAs in this pool were 4.7%. You might remember that NPAs in this pool peaked at 5.3% in March of 2011. At year end, term  commercial real estate NPAs were around $28 million or 33% of our total nonperforming assets as of year end. 
 One-to-four family residential construction continues to be a large portion of our NPAs at 23%. However, we were able to reduce the absolute total amount of NPAs in this bucket by 38% during the course of the year. One-to-four family residential NPAs are now down to about $20 million, which is significantly lower than their peak when they were slightly over $80 million. 
 The commercial real estate construction bucket accounts for about 8% of our total NPAs, and is comprise in most part of 3 projects, which in total account for about $7.1 million in nonperforming assets. The 3 projects are our condo project, our retail strip center and an industrial development project. The largest project is the condo project at $3.7 million and the smallest one is the retail strip, which is about $1.3 million. Loans not covered by FDIC loss sharing agreements, which were past due at quarter end approximated about $12.4 million or roughly 53 basis points, up modestly from last quarter's 45 basis points. 
 Loans acquired under FDIC loss sharing agreements were approximately $709 million as of December 31 on a UPB basis, down from $786 million last quarter. The pace of resolution within the pooled or covered loan portfolio was where we made the most improvement during the fourth quarter. While not classified as nonperforming, for financial statement purposes due to the nature of pool accounting. Pooled assets with those type of characteristics declined $16 million in the fourth quarter and represent about 29% of the total covered portfolio. 
 In the year, we actually saw an increase due to the assets we acquired in the first Heritage and Summit transaction as we began the year with the $155 million. Past due loans covered under FDIC loss sharing agreements were just over $11 million or around 1.6% of the total covered portfolio as of the end of the year. 
 With that, I'd like to turn the discussion back over to Melanie. 
Melanie Dressel: Thanks, Andy. While our economy here in the Pacific Northwest mirrored the slow growth of the country as a whole the last year, we are seeing encouraging reasons for more optimism as we move forward in 2012. We still have major challenges of course, particularly in the unemployment rate, the housing sector and with the state and local governments cutting expenses and employment as revenues fall. However, the Pacific Northwest has a diversified economy and you've heard me say that for a long time. It is the top state in the country for foreign exports and the outlook for Boeing, our region's largest private employer has rarely looked better. The company has over 7 years of commercial orders to fill. That's about 3,500 orders. They added 7,000 new jobs over the past year and the 787 has launched. And last month, Boeing and the machinist union signed a 4-year labor contract, which ensures that the 737 MAX will be built right here in Redmond, Washington. 
 We're also happy to have Costco, Microsoft, Amazon and REI headquartered here. They were just ranked by Consumer Reports among the top 10 companies with the best consumer policies and customer service. 
 Consumer confidence is rising and retail sales rebounded particularly in the sales of automobiles and electronics. Local economists believe the housing market is stabilizing even though home prices have continued to fall. We've seen a significant number of sales of distressed properties, which has lowered the average home price. 
 In Washington state, the trend over time is showing that jobs are gradually increasing and the employment rate is coming down. In fact, the Puget Sound region is outpacing the nation in terms of job growth. The jobless rate was the lowest in nearly 3 years, decreasing slightly to 8.5% in December from 8 .7% in November. The national rate was also 8.5%. State officials say that between December 2010 and December 2011, overall employment in Washington was up about 30,000 jobs. The areas that saw the most growth were in education and health services, manufacturing and the transportation, warehousing and utilities sector. Sectors with job losses included professional and business services, retail trade, hospitality and leisure, construction and government. 
 Oregon's economy has been growing more slowly and its total number of jobs has remained relatively flat for almost a year. However, the jobless rate is improving and was 8.9% in December, dropping below 9% for the first time in 3 years. Manufacturing, construction and financial sectors have shown sluggish job growth. Last month's job gains were driven by the leisure and hospitality sector in Oregon, which typically loses jobs in December but instead they added jobs. This sector saw a particularly strong growth in restaurant employment. Similarly, local governments eliminated pure  jobs and they typically do in December, creating a net gain in the seasonally-adjusted numbers. 
 Despite the lackluster economy last year, we were still able to make significant strides in organic loan growth, expanded our geographic reach in the Pacific Northwest and we continued our methodical progress in resolving problem assets in both the covered and the non-covered loan portfolios. I think this positions sits well to continue our progress in becoming a leading Pacific Northwest regional community bank. 
 Of course, effective capital management is very high on our priority list. Although we are continually considering acquisition opportunities, you can see from our dividend payout that we are not anticipating the need to accumulate capital. Our special dividend of $0.29 combined with our regular dividend of $0.08 represents the full payout of earnings for the quarter. 
 As Gary indicated, our efficiency ratio is not where we want it to be for the long term. Although masked by the 5 FDIC acquisitions we've completed over the past 2 years, we have been managing our expenses very closely. We can't forget that the efficiency ratio is also driven by revenue. Revenue and growth has been slower than we would like as a result of the slow economy. We expect total expenses as reported to continue at basically the levels -- at these levels for the foreseeable future, although we should see some marginal improvement following the full operating system conversion and integration of the Bank of Whitman over the next few months. 
 As the economy recovers and revenue-generating opportunities resurface, we believe we are in a strong position to grow revenue much faster than expenses. This will give us the opportunity to grow into the new areas of our footprint. However, I don't want you to think that we are sitting back just waiting for the economy to improve. As evidenced by our loan growth, we are actively taking market share to increase earning assets. At the same time, we're working on the expense side of the equation as it relates to being more efficient in ways that we deliver our products and services. The uncertainty of the economy will continue to influence our performance in 2012, but we feel confident that the Pacific Northwest and its very diversified economy, along with the footprint and infrastructure we have built, will put us in a good position to thrive over the years to come. 
 With that, this concludes our prepared comments this afternoon. Just as a reminder, Gary Schminkey, our Chief Financial Officer; Andy McDonald, our Chief Credit Officer; and Mark Nelson, our Chief Operating Officer are with me to answer your questions. 
 And now, Sarah, let's open up the call for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Aaron Deer with Sandler O'Neill. 
Aaron Deer: Melanie, maybe as a start, follow up on your comments regarding capital management. It sounds like there's nothing imminent, anyway in terms of M&A opportunities given your comment. And the dividends, the special dividends, it's certainly attractive as a way to put money back to shareholders. But I didn't see -- it didn't look like you were very active, if at all, with the share buyback. And I wonder what your thoughts are in that going forward. 
Melanie Dressel: Well, as we disclosed last quarter, the share buyback is out there and can be used at any time. And as it references, that it doesn't appear there are any M&A opportunities imminent. I guess that I would say that, that is true today. But I don't want to signal that we're not thinking that there could be one in the future, so I just don't want you to jump to that assumption.
 [Technical Difficulty] 
Gary Schminkey: Both course that we've done on the cost of our core deposits. We've taken down some rates specifically in money market accounts, for example, have come down dramatically and it's brought our average cost of interest earnings, deposits down to about 30 basis points. About -- it came down about 9 basis points from last quarter. So that's the major factor of the margin increase and it's offset partly by lower origination rates for new loans coming on the book. Given the current rate environment and the competitive landscape, I think that's going to be with us for quite some time. So, I think, going forward into 2012, you look at our cost of deposits, there's not a lot of room to move those going forward. Although with rates staying down, I would imagine there would be some pressure on new rates that we bring loans on the book. 
Operator: Your next question comes from the line of Dave King with Roth Capital Partners. 
David King: I guess, first off, maybe talking about the core margin a little bit and the prospects, following up on that. It looked like some of the benefit you got this quarter was also just from the redeployment of cash into securities and you still have a fair amount in those balances. I guess, Gary, how should we think about the potential breakdown of that stuff down going forward? And any kind of benefit you can get from that? 
Gary Schminkey: Yes, that's a good question. Because the -- as we receive cash back from the existing portfolio, we're still going through that analysis of how fast that could potentially come back given the new rate drop [ph]. What we learned yesterday. And what rates would we redeploy those funds either into loans or new investments. So given that, I'd like to bring the cash balances down a little further than where they are. We currently have in the neighborhood of $200-plus million in cash overnight and that's still a little high, I believe. We certainly don't want to give up on the opportunity cost of what we could be earning. I think we would continue to invest in the 3- to 5-year range, although we still have some analysis to do on what has changed in the investment world since yesterday. 
David King: Okay, that's helpful. And then on the loan growth this quarter, to what extent would some of that coming from existing customers versus new customers? Is it mainly just some of the market share gains you guys are having that's driving all that? Or is there some new incremental demand you're seeing out there, and how should we just think about the potential for growth going forward? 
Melanie Dressel: Mark? 
Mark Nelson: Yes. That's -- pretty much new incremental demand was what drove the expansion that we have there. But clearly, we're talking with our existing clients too, looking for all opportunities. It may have been in new projects that somebody had gotten into or taking business away from our competitors. 
David King: And then the prospects going forward, you think, for that -- is it sustainable, I guess, with this kind of growth rate, given everything you guys see today? 
Mark Nelson: It could vary from quarter-to-quarter, but I think our activity is uniformly strong throughout the footprint as far as our focus on building new business, particularly as we assimilate some of our new footprint and getting those folks into the process. So I would see us continuing to grow. As Andy mentioned in there though,  there are opportunities out there and we're certainly going to position those where they make good sense for us. So we're going to be well underwritten. We've got to discipline around pricing. We're seeing pricing pressure clearly, but that just means that we're focused on the strongest credits that we'll try to put on the book. 
Operator: Your next question comes from the line of Joe Morford with RBC Capital Markets. 
Joe Morford: Just following up on Dave's question a bit. You talked about loan pricing, I'll be curious particularly in the commercial real estate portfolio, where you said you've been -- been able to be a little more selective. Just kind of what types of rates are you putting new loans on the books these days? 
Melanie Dressel: Andy, would you like to comment on that? 
Andrew McDonald: Yes. The spreads are in the neighborhood of 275 to 300 basis points. 
Joe Morford: Okay. Has that changed much from the past quarter or has that been pretty consistent? 
Andrew McDonald: It's been fairly consistent this year. We'd like to see a little bit more than that. But it is -- the year in competition has been more in loan dollars, than  in the commercial real estate area, where we tend to lose it not so much on the rate but lenders who were willing to lend more dollars than we are. 
Joe Morford: Okay, that's helpful. The other question was just maybe, if you could talk a bit more about the decision to increase the quarterly provision to nearly $5 million or so, at least on a core basis, especially given the drop in charge-offs. And I know you talked about growth being a factor there. But just -- what can we think about for a run rate in 2012 given your outlook for growth? 
Andrew McDonald: Yes. The provision is split between 2 components. About $2.7 million, $2.8 million was driven by the originated portfolio, where we had net charge-offs of around $2.3 million. But  there was a little bit of build there in the portfolio. But again, that portfolio grew in excess of $125 million. $2 million was associated with the establishment of a reserve for the Bank of Whitman loans. When they were initially valued a couple of quarters ago, we didn't have to have a reserve at that time for those loans because essentially they were placed on the balance sheet at what their value was, which included a credit mark. Now that we moved away from that date, we have to establish a reserve for those loans. The interesting  dynamic here is that the discounted portfolio by its nature is a liquidating portfolio. So I would say that the run rate, looking forward, will probably mirror more of what you see in the originated side of the house, than what you see with the originated and the discounted combined. Does that make sense? 
Joe Morford: Very helpful. Yes, that's great. 
Operator: Your next question comes from the line of Jeff Rulis with D.A. Davidson. 
Jeff Rulis: Just a follow-up on the margin again. Gary, I missed the core margin in Q3 comparable to the 4.68% in Q4? 
Gary Schminkey: I'm looking for last quarter's press release but I don't have it from last quarter. I'm sorry. I'm looking around the room to see if anyone that has it here. 
Jeff Rulis: Gary, just a follow-up I guess on the... 
Gary Schminkey: It's up a little bit. The core margin is up slightly. I can give you a call over that with more detail, Jeff. 
Jeff Rulis: All right. I appreciate it. And, Gary, I guess a follow-up or maybe for the other call. But, Gary, you've talked about in the past about the core margin eventually returning to that historical, I think, you said 430 to 450 range. Has that assumption changed at all? 
Gary Schminkey: No, that hasn't. As we get down to a base level of interest-bearing deposit cost, which I think we're approaching, the competition for new loans as Mark and Andy have talked about, is still very intense. And we would expect the deposit cost to hit their bottom very soon and then the new loan origination rates to continue down. 
Jeff Rulis: Okay. And I guess the other accounting noise, more a question on when do we kind of get to that historical level or range? I mean, are we quarters or years away on the margin for when it -- when we're back talking about that. I mean, I know that's a tough question, but your projection on that? 
Gary Schminkey: Well, that is a tough question. And I guess to answer it today, I think, we're quarters away. We still have a good base of loans, until they're either repriced or new loan originations start to overtake that pricing, I still think we're a few quarters away from returning to that historical margin range. 
Jeff Rulis: Got it. Okay. And, Melanie, I think I missed your commentary on the capital management regarding the dividend. I guess, how do we view just the dividend portion both the regular and special? I mean, if you look at Q4, I guess that's a 35% payout. But then, if you look at kind of what's coming in Q1, I guess, are you going to continue to use that special dividend just as a quarter-by-quarter basis? Or maybe additional color on the dividend-only decisions would be helpful. 
Melanie Dressel: I wish that I could give you a better idea of the future but the way that we approach our dividend each quarter and the reason why we have all of the different components as opportunities out there for deployment of capital is, that we take a look at the landscape of what we see coming in the quarter ahead. And I just can't give any more information than that, other than the fact that, certainly, with the capital levels the way that they are, we don't feel a compelling reason to accumulate more capital. But that does not mean that we're not looking for opportunities to deploy it by doing acquisitions or just looking at other opportunities for capital. 
Operator: Your next question comes from the line of Matthew Clark with KBW. 
Matthew Clark: Can you give us the amount of discounted loans at the end of the quarter for the Bank of Whitman? 
Melanie Dressel: Andy, do you have that? 
Andrew McDonald: The balance? 
Matthew Clark: Yes. 
Andrew McDonald: $162 million. 
Matthew Clark: Okay. And the core margin last quarter, I think, was 4.59%, up -- what is that up 9 basis points? 
Andrew McDonald: Oh good. Thanks, Matt. 
Matthew Clark: Yes. I saved you a phone call. And then out of the $17.2 million of accretion on the pooled loans that you have realized this quarter, I guess, I'm just trying to split out how much of that was from disposal gains relative to just the coupon? How much of that was kind of earlier payoffs on that pooled portfolio? I just trying get - I'm basically just trying to differentiate between the yield on covered loans and the yield on covered loans excluding that disposal income? 
Andrew McDonald: I think that's maybe something we'll have to work on. Originally, I thought you might be talking about the early payoff of the discounted portfolio versus the pooled portfolio. Is that... 
Matthew Clark: No, that's separate. I guess that's the $9.1 million, I got that. And that's what $11 million left on the discounted loans? 
Andrew McDonald: Yes, yes. 
Matthew Clark: And that will come into income, I think, over --  I think it's the last quarter, by the end of this year, is that fair still? 
Andrew McDonald: The majority of it, yes. 
Matthew Clark: Okay, okay. All right. And then on the deposit growth, this continues to get -- the mix just continue to get better. And I'm just scratching my head how you guys can continue to do that. But can you give us a sense for how much of that might be seasonal, if it all? Or is it just really just new relationships coming over from some -- more of the troubled banks in your markets? 
Melanie Dressel: Mark, would you like to give some color to that? 
Mark Nelson: Yes. We do see seasonality in our deposits. With the business focus that we have, clearly, a lot of our business, our customers at year end are accumulating cash for their dividend payouts, their employee benefits payouts, that kind of thing. Particularly, professionals, they tend to have payouts at the end of the year. So we do see some seasonality. The seasonality that we've seen in the new footprint mirrors what we saw in the legacy Columbia Bank footprint, so there isn't a huge difference there. We continue to emphasize relationship as we put new loan relationships on the books. And so we're getting new deposit base out of the new loans that we're building and relationships we're building out of that loan generation. Our folks are really focused on our existing clients, looking for opportunities, talking to them. And so I would say, that we continue to expand with our existing customer base as well. So it's really across the board and what we've done historically, we continue to do and it shows up in that pattern. Clearly though, we're not emphasizing high-rate deposits, and so what we are putting on is core deposits, noninterest bearing and that's what's driving our numbers. 
Melanie Dressel: I think that one of the other reasons why we've been so successful on -- it's not as though we are out on offering high-priced CDs because we want to grow deposits. At this point in time, we just want to grow relationship. And the fact that we were voted #1 in Washington State for safety and soundness by Forbes, it certainly helped us well. We -- people are still concerned about the safety and soundness of their banks, and we have a really good story to tell. 
Matthew Clark: Great. And then I guess the last one, on your view of reserving. I think previously, we had expected or -- I think there was some indication that your reserve coverage might start to come down with all the improvement in credit. And it sounded like, with the latest growth, you guys are putting a little more on the sideline and then some. Just curious, whether or not you are thinking differently about reserve coverage here and maybe you want to maintain 2-plus percent reserves in this environment on non-covered or not? 
Gary Schminkey: Well, we don't have a target as to a percentage that we want to be at or percentages that we would want to be above or below. I think as I expressed before, we haven't had and we continue to see in this quarter as well the improvement in the loan portfolio, which has allowed us to essentially lower the percentage of the allowance relative to the loans covered by it. If you sort of set aside the fact that we had to establish a provision for a bucket of loans, we built the provision by a couple of hundred thousand this quarter. So I'm not really sure that, that should be viewed as a change in what our expectation is. As I mentioned before, as we continue to resolve more and more of these assets, the rate in which the provision as a percentage of the bucket is going to decline will become more modest because there'll be less credit improvement in the portfolio for which the provision would benefit from. I think as we continue to look forward, that number should stabilize, but we don't necessarily have a target for it. 
Operator: Your next question comes from the line of Brett Rabatin with Sterne Agee. 
Brett Rabatin: I was actually going to ask, wondering the same thing about the reserve. And I guess it will play out over the next year or 2, but it, just to me I guess seems like the reserve levels would decline given your asset quality trends. So it would seem like your provision will be very minimal, if not 0 in 2012. So maybe a little different angle on that. But I was curious about that. And then just -- you sounded a little less optimistic maybe on M&A. And so I was just curious if there were less talks going on or if the bid-ask spread was pretty wide? Or if there were other factors you were thinking about in terms of, at least, on your term on M&A that were restrictive? 
Melanie Dressel: Well, I think that pricing expectations are certainly one of the biggest considerations in figuring out if a deal is going to make sense. And getting those closer together is probably an important piece of the equation. I do believe that there are banks that really do believe that now would be a good time to combine with a partner, where they can really provide the products and services to their customer base, and also be able to leverage the expense that everybody is going to need to put into just complying with new regulations and technology. So I think that the biggest -- well, there are a couple of considerations that make deals more difficult. And one, of course, the pricing expectations, the other is the mark on loan portfolio. But as I've said, the last few quarters, I'm probably more optimistic than many about the possibility of being able to do deals. And I just don't want us to give up on that because I do believe it's a good time for-- to partner, if you're a smaller organization that is looking for a strong partner. 
Brett Rabatin: Do -- does the market exists basically with everyone thinking they're a buyer or they're not really in a still position to sell? I know you mentioned that there are banks that want to sell, but I hear in a lot of locations that is everyone thinks they're a buyer? 
Melanie Dressel: I wouldn't say that, that is necessarily true in our part of the world. 
Operator: [Operator Instructions] Your next question comes from the line of Joe Stephen [ph] with Stephen Capital. 
Unknown Analyst: All of my questions have been answered. I was going to ask on the dividend again because you have so much capital. But I won't. 
Operator: At this time, there are no further questions. 
Melanie Dressel: Okay. Well, thanks, everyone. And I just want to thank all of you who have covered us and have been investors with us since last year, and we're really hopeful that 2012 is going to be another great year for all of us. So thank you very much. 
Operator: This concludes today's conference call. You may now disconnect.